Operator: Good day. And welcome to the Yunhong CTI Fourth Quarter and Year-End 2021 Earnings Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. This conference is being recorded today, April 13, 2022.  The earnings press release accompanying this conference call was issued this morning. On the call today, is Yunhong CTI’s Chief Executive Officer Frank Cesario as well as Chief Operating Officer, Jana Schwan.  Before we begin we want to note that you should read the forward-looking statement in the company’s earnings press release. During today's call management will make certain predictive statements that reflect its current views about future performance and financial results. The company bases these statements in certain assumptions and no -- and expectations on future events that are subject to risks and uncertainties. The company's Form 10-K with some of the most important risk factors that could cause actual results to differ from its predictions.  Please also note that the company's earnings press release make reference to adjusted EBITDA, a non-GAAP financial measure. The company views adjusted EBIT da as an operating performance measure, and as such, the company believes that the GAAP financial measure most directly comparable to it or its net income or loss. For further information, please refer to the earnings press release and the company's periodic filings with the Securities and Exchange Commission.  At this time, I would like to turn the call over to Frank Cesario, Chief Executive Officer of Yunhong CTI. Sir, please go ahead.
Frank Cesario : Thank you, Holly. Good morning. And thank you everyone for joining us on our call today. Normally, we would start with review of our financial performance and talk about expectations. We will discuss our financial performance later in the call. But first, I'd like to provide an overview of some of the challenges overcome and the direction going forward for our business.  As 2021 was the end of a run of financial statements complicated with losses on the disposition of subsidiaries, I'd like to start with the business itself. It's been quite a ride these past few years. You know what folks say about doing the same thing over and over and expecting a different result. During 2019, we hit a level of clarity on what we should and should not be. We then went out and made it happen. Transforming a business there's far too much leverage proved every bit as challenging as one would expect. But I'm pleased to say that we achieved our goals.  We had sales and distribution entities in the UK in Germany. We owned our own latex balloon manufacturer in Guadalajara, Mexico. We owned a piece of an unrelated business that was once thought to be a future avenue for selling the company's products. And we continued to supply a vacuum sealing business line that offered significant revenue but could not hit required cash flow performance.  Make no mistake, each of these businesses had successes and good reasons to exist. But overtime, each was unable to offer the profitability required to continue. Supporting these areas was a significant financial burden. And our leverage was simply too high. The strain of trying to support the $20 million debt burden and the periodic cash needs of these businesses forced us into tough position. We were in violation of our credit facility terms for much of this period, and we knew dramatic change was required.  Thanks to the support from Mr. Lee and the Yunhong China Group, we were able to pay down our lender debt to only $6 million and cushion the roughly $15 million of write-downs associated with disposing these subsidiaries.  The obvious question is why? Why was CTI worth saving? That's what we'd like to talk about today. For almost 50 years CTI has produced film based products related items. We weren't shy about reaching out to grow. We sold all varieties of packaging film developed an excellent foil balloon program and look to take advantage of different paths to market. When we couldn't do latex balloons well in the Chicago area, we developed a latex producer in Mexico. But business is about more than the top-line. It requires the bottom line to keep up ours did.  Well all those distractions were happening, our foundation strong base kept us going and provides the solid ground we need to expand our company in a profitable way today. We supply the most demanding retailers in the world. That's saying something. Every indication is that we offer very strong product quality, and our in-house creative department never fails to generate new eye catching designs. We know how to satisfy retail customers and how to effectively engage in those sometimes challenging relationships. We knew that we had a strong base and foil balloons, certain packaging film, candy blossoms and other gift items. Our products make people smile, got to save that. Along comes the Yunhong China Group that is looking to engage the North American market with a product offering largely designed around retail. We believe our experience and know how we'll help them provide new products to our local marketplace. At the same time, I believe having an expert in sourcing and manufacturing in Asia will provide direct value to what our company does as well. It can only help to have more qualified people to lean up.  We are that U.S.-based manufacturer that our nearly 300 customers have come to rely on. But now we are more. We are a member of the broader Yunhong family. That investment was essential as we need every bit of it to bring down our debt load to a reasonable level, avoid millions of dollars related fees and charges and write-off of subsidiaries while maintaining a healthy stockholders equity.  The Yunhong team bought into this transformation and we are all committed to proving it was the right thing to do. From our own cash related challenges to the 2019 helium shortage to COVID inflation supply chain issues challenges obtaining qualified employees, we've been forced to adapt.  I'm pleased to have Jana Schwan or Chief Operating Officer here to share recent success in this area, Jana?
Jana Schwan : Thanks, Frank and hello everyone. One of the issues we have regularly had to work through was the tightness in the local labor market. After three years of hard work, I'm pleased to share that we have made a breakthrough in this area. After a modest investment and a significant amount of teamwork from our operating folks and our engineering partner, we now have robotic arms, working reliably on a converting line. This takes a manual process and automates it while maintaining our quality control features on the line.  Think of the flexibility and managing our critical human resources as we can better cover our manufacturing needs. We calculate payback from this strategic investment occurring in about nine months by lowering the headcount per line. Now that the first line is working up to our expectations, we are working on the second line. Before long we should be able to apply advancement to six converting lines.  One other change that has been made in order to maximize our production personnel is an investment on our seasonal production flow, and adjustment to our seasonal production flow. We have two large spikes during the year, Valentine's Day and Mother's Day Father's Day grad season combined. About half of our business is everyday type events and celebrations and the other half is driven by these three specific events.  In the past, we would staff up our temporary workforce for the fall -- in the fall for Valentine's Day, then reduce it for a month, then staff up again for Mother's Day Father's Day graduation, and then reduce staffing as we approach the end of our seasonal spike. With it being so difficult to find and train good people in manufacturing, we have adapted by starting to ramp up earlier in the fall and continuing production efforts through April. This change in shape has allowed us to meet customer demands without doing anything extraordinary in terms of labor costs. It's working. We make better products because we can retain good trained staff for a longer period of time.  After so many years of manufacture -- managing some of these challenges. I'm very happy to be a part of leading Yunhong CTI today. Frank?
Frank Cesario : Thank you, Jana. That shows how we aren't satisfied with business as usual, particularly when we believe there's a better way. We have plans for expanding our sales channel, but with full accountability to expectations throughout. I commit to you that we will more actively manage risk, we will better lever our assets into value.  Now about our financials. Revenue increased $3 million as smaller customers continue to recover from the 2020 shutdowns and our largest customer increased its demand. We noted a roughly $10 million charge to our net income related to selling latex manufacture, Flexo Universal in Mexico, something that will not recur. Please note that $6 million of this was the recognition of currency loss over time becoming recovery at the other comprehensive income level only an accountant can appreciate that and even then just better.  Going forward, we are committed to being easier to understand. Now that we have freed our U.S. business and can show its operating performance without external elements that clarity should be there. Our financing cost is substantially reduced. We have largely addressed inflationary costs increases. We continue to address freight shipping challenges, and we won't rest until we demonstrate what our company can do.  Thank you for being part of the Yunhong CTI limited. And now for the fun part. Holly, may we have any questions please?
Operator: Certainly, ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question for today is coming from Michael Colesani [ph]. Michael, your line is live.
Frank Cesario : Hello, Michael. 
Unidentified Analyst: Hi. Good morning, folks. And congratulations on this turnaround. I don't know if you're able to, but I would love it if you could maybe share some insight in terms of now that this is behind you, how you expect to see top line growth and future opportunities coming down with all these lines coming together.
Frank Cesario : You're my new favorite person. Thank you for asking me about top-line. As you can see, we've built top-line over the past year. And we expect that to continue. We offer good products, we target the areas of the market, we service the best. We're looking to expand our sales function later in the year. There's a lot of things that we're doing to grow it but grow it on a risk managed perspective, right. We're not going to just dump resources into top-line growth, we're going to pick our spots. And we think that that's going to work.  At the same time, a new wrinkle for us is that we believe we can supply support for other Yunhong companies, right with the U.S. retail market. That's something that we had contemplated back when the investment was done two years ago. And now I think we're in a position to much better do that. So between working with entities that are more known to us, to providing foil balloons to more types of customers, to providing our candy blossoms and gifts solutions to a lot more types of customers. We think that we have a lot of good things to shoot out. And so we're very excited to see how that shapes up. 
Unidentified Analyst: Thank you. 
Frank Cesario : Thank you.
Operator: [Operator Instructions] Your next question for today is coming from Mike Suneco [ph]. Mike, your line is live.
Unidentified Analyst: I just had a quick question. When you look at board ownership or key employee ownership, I'm not sure if it's accurate. So much of the data on CTI be is old or inaccurate. If you look on Yahoo Finance or any of the overviews of the company. I just making a comment that I would love to see more ownership from key employees, more of a belief internally in the company. And I know you have blackout periods. When can employees and board members come back to the market and buy stock if they want to?
Frank Cesario : Sure. So our normal blackout -- and I think this is true for most entities goes from the end of a quarter, until a couple days after those results are announced. We as an entity have been very, very late in announcing results, I think we can do a better job. But for now that means for the end of the year through the numbers, and even 10-K filing, everyone is barred from doing anything. And because where we are in this process, now we're in Q1. And so Q1 is finished. And so when we report Q1 in May, that's when things open up.  The other facet that I'll share is that our entity is turned over tremendously. If you look at his five years ago with a couple of dominant shareholders who were employees of the company, they have retired. We have a new investor group, we have a lot more people involved. And so when you look at it, it will look very, very different from what it was not long ago.
Unidentified Analyst: Okay. I have a follow up question. As far as inflation and raw material costs, you're confident that you can pass those costs along to the consumer.
Frank Cesario : To our customers, we have. We've made a huge push. And look, nobody wants to have their prices raised. No one wants to be the guy in the room raising prices. They have to do it. If you're going to be healthy, you have to maintain a healthy margin, it's just part of the deal. And a lot of people understand that, because we don't sell price we sell value. And if we do that correctly, our customers will respond and be our partners all the way through. We've held price for many years, a lot of customers. Everyone knows what the world looks like. And we went out and we said, okay, the new price structure looks like this. And the vast majority of our customers and business said, we understand.  At the same time, we pushed too far, we hear about it. And we did lose some business that wasn't profitable. So frankly, I'm good with that. So all in, I can tell you, I think we've been successful in taking those additional costs and passing them through to our customers. It was not easy. But I believe we've been successful, and we will keep our eye on the ball. Because, margins can't fail on a company that is looking to perform.
Unidentified Analyst: Thank you. 
Frank Cesario : Thank you.
Operator: Your next question for today is coming from Glenn Hamilton [ph]. Glenn, your line is live. 
Unidentified Analyst: Hey, Frank. Nice to talk to you guys again. Here's my question. I don't see any deep [ph] or great income information. It'd be nice down the road, instead of going to the SEC, and NASDAQ and all those to find your balance sheet, and just be transparent in that regard, least on a quicker basis. So that's just my one [multiple speakers]. 
Frank Cesario : One, I couldn't agree more. And my commitment to you is every quarter, going forward forever, we're going to have the traditional income statement balance sheet disclosures. This time was complicated, because frankly, we thought our 10-K would have been filed already. And I think it's tomorrow. And so all of that made us say, look, people will not under will have a harder time understanding the last of the deconsolidation charges zero without a whole lot of discussion. So through the end of last year, we did this high level summary. And we thank everybody for their tolerance.  But starting in Q1, you'll see more traditional disclosures. And they're going to make a lot more sense because we don't have so many things clouding what the U.S. business is doing.
Unidentified Analyst: Okay, good answer. Can I have a follow up question here? 
Frank Cesario : You may. 
Unidentified Analyst: You and I discussed this in the past and it's a touchy subject is the name you have? I'm in a lot of chat rooms and CTI and they have a lot of people still consider this a Chinese company, with a lot of negative connotations with that. Why can't it still be called CTI Industries, again, with Yunhong still being the primary owner? Because whenever there's negative news on China overall, boom, I see a drop in our price incidents, maybe maybe not so --
Frank Cesario : It is a change, right? It's a different animal. So having Yunhong in our name was frankly -- it was attached to the investment, you're back to the paperwork from the beginning of 2020 is a $5 million investment, we committed to change our name to add Yunhong to connect the U.S. company with the broader group. It’s done in name and it's done in an investment, it is not done in any other way. In other words, all of our operations are U.S., our people are U.S.. And our customers know that.  So when we walk into somebody's office, we have both Yunhong CTI and CTI Industries available as a matter of fact they are. Product labels haven't changed. My business card has both, because we are in both worlds. We have a foot in each world. And if China becomes favorable, maybe that'll be good. Challenges, I understand some people react. But that is who we are now. And so we are committed to being who we are. We're proud of being who we are. But make no mistake, where are a U.S. company with Chinese investors, that has connectivity to a broader group. But that's it.
Unidentified Analyst: Okay, one I thought was they saying [ph] and you won't hear anything more from me. The previous caller, one of them talked about insider purchases, you know how strongly I feel about that. And I know blackout periods, et cetera. But each director can't own independently 10,000 shares of $1 stack, to me they shouldn't be on the board. That's my opinion.  My investment group has over 100,000 shares and we're looking to add more. So I’d like to see that ownership, management et cetera has a stake in the game besides getting grants every year not putting up a dime. So that's just my observation. No more questions and Thank you Frank and Jana for doing a great job.
Frank Cesario : Well, thank you, Glenn. And I'll certainly share that with our broader team. You know, I will.
Unidentified Analyst: Awesome, thank you.
Operator: [Operator Instructions] There are no further questions in queue. I would like to hand the call over to Frank, for any closing comments.
Frank Cesario : Thank you, Holly. And thank you everyone for being on the call. I know a lot of folks read the transcript or catch the replay later. I'm certainly guilty of that a lot. But we do appreciate you being involved in Yunhong CTI story. We're proud of the story. And we believe, and we'll say again, that we think will be a lot more easy to understand as we roll out during 2022.  So I look forward to talking to you now in just over a month. And I look forward to this becoming a habit. So thank you all.
Operator: Thank you. Ladies and gentlemen, this does conclude today's event. You may disconnect your phone lines at this time. And have a wonderful day. Thank you for your participation.